Operator: Good morning. My name is Matt and I will be your conference operator today. At this time, I'd like to welcome everybody to the Lindsay Corporation First Quarter Fiscal Year 2021 Earnings Call. All participants today will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. During this call, management may make forward-looking statements that are subject to the risks and uncertainties, which reflect management's current beliefs, estimates of future economic circumstances, industry conditions, company performance and financial results. Forward-looking statements include the information concerning possible or assumed future results of operations of the company and those statements preceded by, followed by or including the words expectation, outlook, could, may, should or similar expressions. For these statements, we claim the protection of the Safe Harbor forward-looking statements contained in the Private Securities Litigation Reform Act of 1995. I'd like now to turn the call over to Mr. Randy Wood, President and Chief Executive Officer.
Randy Wood: Thank you and good morning everyone. Appreciate you joining us. With me on today's call is Brian Ketcham, our Chief Financial Officer. Before Brian gets into the details of our first quarter results, I do want to share some opening comments. We announced our CEO transition plan in November and I am pleased to confirm that Tim Hassinger and I have now fully completed the transition and it's my pleasure to join you this morning as President and CEO of Lindsay Corporation. I want to acknowledge and thank Jim for his full support not only during the transition but the key role he played in the transformation of our company. It truly is a pleasure and honor to lead this great organization and continue our path forward. We continue to follow our CDC safety protocols at all of our facilities as part of our pandemic response plan. Our businesses are classified as business essential and all nine plans are operational and running. We're also maintaining our work from home option for roles that can be performed remotely. Safety is a nonnegotiable expectation for us and we'll continue to make decisions that keep our employees safe. Turning to the business environment, conditions in North American irrigation market improved rapidly during the quarter. Commodity prices strengthened significantly due to an improvement both in supply and demand fundamentals including an increase in exports linked to the Phase 1 in China trade deal. Record government support to help offset the ongoing impact of the Corona virus and trade disputes grew in the year from the support of the positive customer sentiment and improvements in grower profitability. USGA projections now show a 0.2% increase in 2020 net farm income on a year-over-year basis. In late December, the President the Corona virus direct aid pack has been allocated $13 billion to the X factor and we expect that aid to provide supplemental support for the corn and soybean live stock and dairy sectors. These positive market drivers drove stronger than expected flow in the second half of the quarter in North America leading to a higher equipment sales and a large order backlog at the end of the quarter. We also saw rapid escalation of input cost primarily steel during the quarter and some transportation disruptions that resulted in higher export identities, a large influx of orders coupled with increased cost have put short term pressure on margins. Price increases have been passed through the market and we expect to see margin pressures subside as the year progresses. International irrigation showed solid results on a year-over-year basis with unit volume growth across most regions. Reserve continues to perform well due to strong farm income, favorable currency for exports and record soybean yield, government subsidized finance and continues to support market growth and we're seeing an expansion in private banking options as well. In technology and innovation, we were pleased to announce our partnership with Trends [ph], the market leader in high resolution economic imagery and Microsoft which will allow us to deploy machine learning and artificial intelligence to create a smart a combination of advanced economics and machine health monitoring within the integrated [ph] platform will be an industry first and further strengthens our position as the innovation leader in mechanized irrigation. Moving to infrastructure, we continue to focus our Road Zipper business by executing our shift-left strategy, increasing our goal penetration and growing the lease business. We did see an increase in Road Zipper lease revenue in the quarter and our Road Zipper sales funnel continues to improve on a year-over-year basis. The timing of projects exiting the file remains challenging to predict particularly in this current pandemic environment. Both road safety and Road Zipper projects faced short term headwinds as governments have delayed road construction projects while managing their pandemic response. The recent COVID relief package did provide additional funding to the state but we expect will be beneficial for spring projects. President Biden has also expressed the desire to support an infrastructure bell shortly after resuming office, so we do see the potential for supported news later in the year. The Road Zipper project with Highways England is now fully deployed and operating well and we expect this should become a great case study that supports further penetration of Road Zipper and similar applications. Now I'll turn the call over to Brian to review our first quarter financial results.
Brian Ketcham: Thank you, Randy and good morning, everyone. Total revenues for the first quarter of fiscal 2021 were $108.5 million compared to $109.4 million in the same quarter last year. Net earnings for the quarter were $7.1 million or $0.65 per diluted share compared to net earnings of $8.3 million or $0.77 per diluted share in the prior year. Net earnings for the quarter included an income tax benefit of approximately $1.7 million or $0.16 per diluted share related to the release of evaluation amounts in the foreign tax jurisdiction. Irrigation segment revenues of $87.4 million for the first quarter increased $4.1 million or 5% compared to $83.3 million in the same quarter last year. North American irrigation revenues were $52.8 million compared to $53.6 million in the same quarter last year. The decrease resulted primarily from lower engineering services revenue related to a project in the prior year that did not repeat and this was partially offset by higher irrigation equipment unit volume. In the international irrigation markets, revenues of $34.6 million increased $4.8 million or 16% compared to $29.7 million in the same quarter last year. Increase resulted from higher unit sales volumes in several regions, which were partially offset by the unfavorable effects of differences in foreign currency translation rates compared to the prior year that totaled approximately $2.4 million. Total irrigation segment operating income for the first quarter was $10.6 million, an increase of 9% compared to $9.8 million in the same quarter last year and operating margin improved to 12.2% of sales compared to 11.7% of sales in the prior year. Improved margins were supported by higher irrigation equipment sales volume; however this improvement was tempered somewhat by the impact of higher raw material costs and also from higher freight cost that resulted from reduced availability of commercial trucking resources. Market prices for all types of steel products began to rise rapidly during the quarter, but steel coil prices increasing over 70% from September to the end of December. While we have implemented pricing actions to pass through these cost increases, a large number of irrigation equipment orders were received prior to these actions taken impact. We expect to see some margin headwinds in our second quarter as the backlog of orders received prior to price increases are shipped. Infrastructure segment revenues for the first quarter were $21.1 million compared to $26.1 million in the same quarter last year. The decrease resulted primarily from a large Road Zipper system order delivered in the prior-year that did not repeat and from lower road construction activity in the current year. Infrastructure segment operating income for the first quarter was $4.3 million compared to $8.7 million in the same quarter last year. Infrastructure operating margin for the quarter was 20.1% of sales compared to 33.5% of sales in the prior-year. This decrease is primarily due to lower revenue and higher-margin product lines and was also impacted by an increase in raw material and other cost compared to the prior year. Turning to balance sheet performance and liquidity; during the quarter we generated free cash flow of almost $10 million representing a 138% of net earnings. Our total available liquidity at the end of the first quarter was $196.4 million with $146.4 million in cash and marketable securities and $50 million available under our revolving credit facility. Our total debt was $115.9 million at the end of the first quarter almost all of which matures in 2030. Additionally at the end of the quarter, we were well within the financial covenants of our borrowing facilities including a funded debt to EBITDA leverage ratio of 1.5 compared to a covenant limit of 3.0. At this time, I would like to turn the call over to the operator to take your questions.
Operator: [Operator instructions] Our first question comes from Brian Drab with William Blair. Please go ahead.
Brian Drab: First question is just on the Road Zipper pipeline. So in the last fiscal year large projects totaled over $50 million in revenue and I am wondering if you can give us your latest update as you look out to the next fiscal year the potential for large project revenue this year, what's the latest estimate.
Randy Wood: Yeah Brian. Thanks for the question. We've expect clear visibility this year to several what I would classify as mid to large projects. So you know and you mentioned last year we were $50 million or slightly over Road Zipper projects with $27 million of that being a Highways England project. I think our visibility right now would indicates that we would cover probably about half of that Highways England project with current visibility that we have.
Brian Drab: Okay. Do you think overall for the year that it could be $25 million or $30 million plus large project revenue available in total for any projects that you have or is it going to be tad below that range?
Randy Wood: I think right now it would booked depending on what the timing works, it would be above that $30 million.
Brian Drab: Okay. Great thanks and as you take that into account than there will be solid large project revenue but somewhat down from last year and then on the positive in the type relatively high margin business but then on a positive side pretty good outlook here for irrigation and good leverage in that business. Overall what direction do you think gross margin goes in the next fiscal year?
Randy Wood: I think two things on that point. Obviously the irrigation outlook is much improved over what it was last year and after a record year in infrastructure replicate. So the mix of businesses lower operating margin on the irrigation side, but obviously as you know, increase in volume levers pretty well on the irrigation side. So I think based on this commission or if conditions remain where they are at today from a total profitability standpoint, I think we can replicate last year margin, operating margin percentage could be a little bit lower but the total profitability could be at or above last year.
Brian Drab: So total operating margin could be consolidated operating margin you're saying could be a little bit lower than it was in fiscal '20.
Randy Wood: Yeah just because of the change in mix.
Brian Drab: Right I understand, Just want to make sure I heard it correctly. Okay thanks very much.
Operator: Our next question will come from Nathan Jones with Stifel. Please go ahead.
Nathan Jones: Just follow up down Brian's last question and a clarification, Brian you said operating margin percentage could be down a bit but the operating income could be higher than last year.
Brian Ketcham: Yes Nathan I predicated that if Ag conditions that we're seeing today remain through the year, which we have no reason at this point think they won't, with irrigation having a solid year we can definitely get to that point.
Nathan Jones: I wanted to talk a little bit about raw material prizes and its impact on margins, you really saw steel prices start to spike up four or five months ago, which if I recall correctly how long it takes you to run it through your inventory anyway. So I wouldn't have thought you guys certainly in the fiscal first quarter should really have been recognizing any of that increase steel pricing running through the P&L. Can you talk about how that plays out in terms of one of the increased raw material price you've already recognized, I would have thought that that pricing would be getting a little bit worse as we go forward here over the next quarter or two. And then also how that plays off with the price increases that you put? Have you put in enough price increases to cover all of the increase in raw materials or do we need to go back to the market with more price increases?
Brian Ketcham: Yeah Nathan, this is Brian. We really saw the steel cost increases beginning in September and then really taking off starting in October. When you compare that to the order flow that we saw, our order flow started picking up in the last half of October and so with I think the automobile industry picking up availability started becoming an issue in supply on the steel side. So that really led to the rapid increase in steel cost. We have order program that went through the end of October and our steel price increases started taking effect 1 November. So where we are at today, we've implemented several price increases to where I'd just say double-digit kind of range which would cover the steel cost increase that we've seen.
Nathan Jones: Okay. Thanks, I'll pass it on.
Operator: Our next question comes from Ryan Connors with Benning and Scattergood. Please go ahead.
Ryan Connors: Couple of bigger picture questions. First you mentioned Randy the Biden administration and the infrastructure spend and so forth, but I wondered if you could comment on another priority that they've mentioned may be less prominently which is the equip funding the sort of environmental program where they give some low-cost money to irrigation and other agricultural issues. Have you heard any more details on that whether that's something that you think is going to be real and whether that tilts the balance of wallet share towards irrigation even in a good ag market.
Randy Wood: Yeah thanks for your question Ryan and I do think you're right. The administration obviously is going to have a significant focus on the environment, the sustainability and the equip program has proven to be a very efficient means of getting capital to market where customers are going to use it to improve the efficiency. I think one of the big changes that we've seen in the last farm bill was the ability to fund technology investment like fuel advisor. So I think going forward we should see strong financial support in Equip program which will aid in conversions to more efficient means of irrigation, but we're also excited that it will include technology investments as well that will allow growers with pivots to buy into technologies that will also save time, water and energy. So we see Equip as a good tailwind going forward.
Ryan Connors: Okay. And then segue from that, you talk about these big raw material price increases and that necessitating product price increases. How does that impact farmers, customer's decision on whether to put a new pivot in place or whether to try to augment technology and can sort of fix up their older base equipment and sort of augment technology on top of it to just get the most out of what they have to cost that much more to actually put a new piece of metal in the field.
Randy Wood: We look at the impact on pricing and maybe elasticity of new machine purchases versus upgrades technology ad-ons even a double-digit increase in the quarter as pretty significant over the short term, but if you look at the total acquisition cost, the impact on yields and then profitability, we don't see that driving a lot of purchase decisions towards upgrades or just technology add ons particularly with what we're seeing in commodity prices and the strength of net farm income. So we don't see the cost increases passing through as pricing increases on the equipment having a significant impact. Our perspective is they'll continue to make investments that impact their bottom line, that's going to include more machines and technology ad on.
Ryan Connors: Okay. And then my last one was switching gears infrastructure and really a big picture question, you talked about the positive impact of infrastructure spending, but I saw an interesting quote from I guess transportation planning a person down in Texas I am a pretty prominent person who made a comment that basically with people working from home at least part of the time it's going to be as if every highway in the country had a lane added to it during rush hour, which I thought immediately brought to mind sort of the Road Zipper because the case has always been to add a lane. So I don’t know if you heard that comment or not but interested to get your take on that angle that maybe we get some infrastructure spending but how does that sort of potential for lower density on the roads impact the Road Zipper business case?
Randy Wood: I think there's going to be a lot of questions about what the post-pandemic environment is all about and whether we see a continuation of work home, is it a hybrid environment and if you look at the volume of traffic that we see on the nation's highway, there's always going to be a mix of commercial traffic and trucks moving goods coast to coast and people that are driving to more people that are shopping and I think as the economy starts to pick back up again and life returns to new normal that we're going to see traffic trends that maybe don't get all the way back to what we see in a pre-COVID environment, but I think we were stressed on our nation's roadways and we know that we're little behind on infrastructure spending. There is going to be some pent-up demand there. So I wouldn't view that Ryan as having a significant impact on our ability to continue growing the road and growing that Road Zipper business.
Ryan Connors: Got it. Very helpful. Thank you. Happy New Year to everybody and congrats on the new role in.
Operator: Our next question comes from Jon Braatz with Kansas City Capital. Please go ahead.
Jon Braatz: You guys mentioned that irrigation orders picked up in the second half of the quarter and since the end of November, grain prices have improved even further, corn and soybeans are up about 16%. Did you see the pace of activity change or accelerate in the month of December versus or the second half of the quarter or have you seen an improvement in order rates?
Randy Wood: John it's been a slow steady continuous improvement in market conditions and if you track commodity prices, certainly the last Coronavirus relief package announcement right at the end of December, there has been a lot of positive indicators that pile on top of each other that have really led to continued improvement in customer sentiment. So when we look at our order intake in irrigation, we did see that same exhilaration from September, October, November through December. So those market conditions, the positive customer sentiment we've seen that continue right through December.
Jon Braatz: Okay. Would you disclose your backlog at the end of December versus where you were at the end of quarter?
Randy Wood: At the end of December no. We obviously picked up some of the quarter end but what we'll say year-over-year obviously is a large increase and compared to where it was last year but we're seeing just a lot more color around backlog it's within irrigation equipment it's well over a 50% increase year-over-year.
Jon Braatz: And then secondly, the expense ratio SG&A expense ratio was higher than I was looking for. Anything in their unusual, were there any transition costs with Tim's retirement recorded in the quarter, anything any color on the low SG&A cost.
Randy Wood: Yes first of all in terms of transition cost, nothing significantly there. We did have the COO role for a quarter which we didn’t have before that was going forward but that wasn’t that significant but I think the biggest thing was really timing and how we booked our incentive accrual this year versus last year. First quarter last year was pretty low and then as we went through the year, we increased that as the infrastructure business grew. I think the other thing driving we had higher selling expenses in irrigation in the first quarter. A lot of that was marketing related directed towards the new product launches that we introduced, year-over-year increased but nothing.
Jon Braatz: Brian how much was sort of the delta in the incentive accrual for the quarter.
Brian Ketcham: That was when you look at corporate which was up about one million, that would be the large majority of that. Also a little bit on the irrigation side. So in total more than half of the increase.
Operator: Our next question concerning Chris Shaw with Moness, Crespi. Please go ahead.
Chris Shaw: International irrigation was up strongly and I think you got excited because of strong market through. How are the other international markets. I would assume still with COVID going on, there's a lot of delays in markets that are sort of maybe more government driven or I don't know institutional driven. Is that the case though? And I assume the Brazilian market is probably -- is it as seasonal as the US market is or is that different there?
Randy Wood: Yeah. I think, when we look at the international markets, Chris, and you break it up into what we define as more mature markets. And they operate like North America does with some supply and demand fundamentals, farm income fundamentals and markets like Brazil, like Australia, New Zealand, certainly portions of Western Europe. And they're being supported and then propped up by some of the same fundamentals in global commodity prices. So, we saw almost across the board improvement in a lot of those more mature markets. In the emerging project-oriented markets, those ones have a mix of business. Some of that will be commodity price net farm income driven and some of that will be supported by government investments. And that's an area where we've seen more interest in projects and we've talked about this before the COVDI crisis and the shutdown of borders really identified for some countries, they've got more risk than they're comfortable with. So we are seeing more discussion inquiries on projects in those areas. But in markets where we -- would you have that mix and we see some strong fundamentals. We're seeing business growth there as well. The only area internationally where we saw more headwind was really in sub-Saharan African and South Africa specifically where the market fundamentals are not incredibly weak. But we've got some political unrest overlays really limiting capital investment in that part of the world. But when we look internationally, we see pretty good growth quarter-over-quarter in most parts of the world. Your second question on Brazil. We do have some seasonality there, but they benefit from having multiple crops per year. So they'll have a cycle that's planting, growing, harvesting, then they'll jump right back into planting. So there is some seasonality, it just comes up a little quicker there than maybe we see in the markets in the northern hemisphere rolling where we have one growing season.
Chris Shaw: Do you handle rising fuel costs similarly in the international markets that is in the NASDAQ or is that sort of different negotiation with the customer there?
Randy Wood: It's a very similar process.
Chris Shaw: Okay. And then, something more -- not theoretical, but in terms of the irrigation in the US, in terms of -- there's off and on, there's talk about water restrictions, maybe putting a greater economic cost on water supplies, whether it aquifer or something else. But do you have any sense -- I always understood that to be more of maybe a local decision or is it maybe state-based or something. But with the Biden administration, is there a chance that there could be a larger federal effort to -- I don't know -- again, put some sort of economic cost on water supplies for farmers or is there any and do you have any, I guess, insight or foresight into that?
Randy Wood: Yeah. I would say, Chris, we don't have any insight knowledge, no official perspectives. I think it's an area that remains to be seen. And when you read a lot about wanting to recognize the true economic cost of water in business models where water is consumed, but there's nothing that we've seen indicated that the administration at this point that we could use to really give you a good fact-based answer to your question.
Chris Shaw: Got it. Thank you.
Operator: [Operator instructions] Our next question is a follow-up from Nathan Jones with Stifel. Please go ahead.
Nathan Jones: Hey, guys. I just want to follow-up a little bit on the backlog increase, 50%. It is a pretty slow period seasonally for you guys. So, it does take huge numbers probably to move that backlog around. It could be impacted by the timing on the harvest and when the buying season starts. Were there any other factors impacting where the backlog ended at the end of November that are worth noting in terms of those maybe a timing impact from the harvest or anything like that that we should be aware of?
Brian Ketcham: Nathan, this is Brian. I think potentially a couple of things that you could say maybe pull some orders forward. One would be, if there's year-end tax buying to shelter some of the farm income, I don't know that we can really quantify that. And then, I think, as steel prices starting to increase, I think some of the orders, I'm sure, came in trying to beat the price increases.
Nathan Jones: Fair enough.
Brian Ketcham: Quite clearly, I think with lead times starting to extend out, I think we are seeing a little bit more of a shift into our second quarter that maybe last year would have been in the third quarter. At this point, it's really hard to say. I mean, we'll see as the year plays out. But clearly, the...
Nathan Jones: Okay. Then...
Brian Ketcham: ...but clearly the underlying fundamentals that Randy mentioned, it's really the primary driver behind the order flow and backlog.
Nathan Jones: Got it. And then, you talked about having put through double-digit price increases, talked about robust unit demand increases in technology purchases, I'm just trying to get some idea or some sizing of how we should think about the revenue growth as we're going forward here I mean, you can have some pretty big swings in revenue in this business as things go better. Are we talking about mid-teens or better going forward kind of revenue growth as an expectation? How long does it take before the double-digit price increases actually bleed through into the P&L? Just try and give us some idea of what kind of growth we should be expecting here going forward?
Randy Wood: Yeah. Well, I think, second quarter is definitely going to be stronger year-over-year. If you were to project this out on a full year basis, I would say, mid-teens is a reasonable expectation. In regards to when the headwinds start to subside, I would expect -- I would estimate close to 40% of our backlog at the end of the quarter would have been orders received prior to the price increases. So, by the time we get through the second quarter, I would say, we'd have that headwind behind us.
Nathan Jones: Excellent. Thanks very much.
Operator: Our next question comes from Bill Baldwin with Baldwin Anthony Securities. Please go ahead.
Bill Baldwin: Thank you. Thank you for taking my question. Just a couple of housekeeping questions. Do you have a projected tax rate for fiscal '21 at this time or attracting a range for tax rate?
Brian Ketcham: Yeah, Bill. What we would expect for the balance of the year would be, around 23.5%, which puts us a little bit over 20% for the full year.
Bill Baldwin: Okay. And what are your current capitals expenditure projections for the full year similar to last year or do you have any particular projects ongoing there?
Brian Ketcham: Expectations would be probably close to $20 million for the year.
Bill Baldwin: Okay. And then, lastly, can you offer some color on what your -- what's going on, what you're doing with your non road zipper infrastructure business, your road safety products, your guardrail, your end cushions, it looks like you've got a pretty good product line up in that area. And I'm just wondering how many states are you currently operating in and what are your plans for that business domestically and/or internationally.
Randy Wood: Yeah, Bill. Yeah. The Road Safety products business, as you mentioned, crash cushions in Europe, we've got a temporary tape business really both driven around the road construction activity or there is replacement business as well. But we just went through a full product refresh over the last couple of years to update to the new MASH standard. So, as part of that process, we've made some product enhancements that I think have been received very well in the marketplace. And we started to see some pretty good growth in the road safety products. This most recent quarter, we said that road safety products were down a little bit and that's really tied to the slowdown in construction activity that we've seen, most of which we think is COVID-related.
Bill Baldwin: You currently operate in most of the lower 48 states or in the states that you want to operate in, I should, say or do you have room for expansion to the addressable market here domestically?
Randy Wood: Yeah, it's the states that we want to operate in. It's not, I don't know the exact number off hand, but there is certainly some key states that we focus on. There's always room to expand into the other states. It's just the incremental business that you get, isn't going to be as much in certain states.
Bill Baldwin: Right. And roughly what percent, if you disclose this, of your infrastructure business comes from non-Road Zipper type products, the road safety products?
Brian Ketcham: We haven't broken it out in the past but it's been more than 50% of the business has been non-Road Zipper. Last year was very strong Road Zipper year.
Bill Baldwin: Right. Right. Very good. Very good. Okay. Thank you very much for your time.
Brian Ketcham: Yeah. Thanks for the questions.
Operator: At this time, there appears to be no more questions. Mr. Wood, I'll turn the call back to you for closing remarks.
Randy Wood: Thank you very much for your interest and participation today. This does conclude our first quarter earnings call. We look forward to updating you on our continued progress following the close of our fiscal '21 second quarter.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.